Operator: Thank you for standing by, and welcome to Rivian Fourth Quarter Fiscal 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Tim Bei, Vice President of Investor Relations. Please go ahead.
Tim Bei: Good afternoon, and thank you for joining us for Rivian's fourth quarter 2021 earnings call. Joining us on today's call, we have RJ Scaringe, our Founder, Chairman, Chief Executive Officer; Jiten Behl, our Chief Growth Officer; and Claire McDonough, our Chief Financial Officer. A copy of today's shareholder letter is available on our Investor Relations website. Before we begin, I would like to remind you that during the course of this conference call, our comments and responses to your questions reflect management's views as of today only and will include statements related to our business that are forward-looking statements under federal securities laws, including without limitation, statements regarding our market opportunity, industry trends, business operations, strategy and goals, our second domestic manufacturing facility and our expectations regarding vehicle production. Actual results may differ materially from those contained in, or implied by, these forward-looking statements due to risks and uncertainties associated with our business, except as may be required by law, Rivian does not have any obligation to update or revise such statements if circumstances change. For a discussion of the material risks and other important factors that could impact actual results, please refer to the cautionary statements, risk factors contained in SEC filings and today's shareholder letter, both of which can be found on our website at rivian.com/investors. During this call, we will discuss both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP financial measures is provided in today's shareholder letter. With that, I'll turn the call over to RJ, who will begin with a few opening remarks.
RJ Scaringe: Hello, everyone, and thank you for joining us this afternoon for our earnings call. Before we dive in, we wanted to first take a moment to address the crisis in Ukraine. As an organization, we are deeply concerned about Russia's invasion and stand by the people of Ukraine. The humanitarian crisis resulting from the current development is clearly becoming a focus of governments and companies around the world. We are inspired by the actions so many have taken and we'll continue to evaluate ways we at Rivian can show or support. As Tim mentioned, just before the call, we published our shareholder letter, which includes an overview of the progress we've made over the recent months. I'd encourage you to read it for additional details around some of the items we'll cover on today's call. We'll touch on our recent achievements, production progress and product development. Before we do that, I want to personally address last week's pricing announcement. We released an update to our R1 product portfolio that included our new dual motor propulsion system as well as our standard battery pack. The dual motor propulsion system consists of a single motor drive axle, where we've integrated the drive unit, the inverter, the gearbox into a really power-dense package. And in the dual motor application, we put one of those in the front and one of those in the rear of the vehicle. And in total, it delivers over 600 horsepower and achieve zero to 60 in less than four seconds. It's really cool. We also use that drive unit in a single motor application as a front-drive unit in our commercial delivery vans. Along with that, our standard battery pack is leveraging LFP and LFP chemistry, and that chemistry not only allows us to offer that pack at a lower cost, but it really fits commercial applications well. And it's first going to be launched in the commercial vehicle platform later this year, and then will make its way into our consumer vehicles by late 2023. Now as we develop these new offerings, we need to make sure that these offerings could fit into our product portfolio. And to do that, we revisited the overall pricing strategy. Prior to the pricing changes, our R1 platform had a price range without options of $67,500 to $83,500 and only included quad-motor variants. With the addition of these new product offerings, the R1 platform's price range is now $67,500 to $95,000, including both quad and dual-motor configurations as well as the standard range LFP battery pack. On March 1, we announced the dual-motor and standard battery pack along with this updated pricing model. In applying the updated pricing to existing pre-order customers, we failed to appreciate that customers view their configuration as price locked, and we wrongly assumed pre-order customers would be open to reconfiguring to the recently announced dual-motor and standard battery pack if they wanted to maintain a similar price point to the original configuration. We recognized this was a mistake and quickly moved to honor the original configured pricing for our pre-March 1 pre-orders. Our relationship with customers is the most important aspect of what we're building, and we believe our early customers are critical for establishing the brand foundation needed to support many millions of sales across our future vehicle portfolio. Since launching in 2018, we believe the brand loyalty we have forged is one of our most viable assets and something we believe will continue to drive network effects moving forward. With this, we remain highly confident in our ability to address the massive market opportunity that sits before us. Electrification is at a tipping point as trillions of miles traveled each year across the planet transition to EVs. This is a massive shift and one that requires multiple companies to be successful in building interesting products that give customers lots of choices. While the near-term industry conditions remain very fluid, our path to creating long-term value is unchanged. We are targeting the most attractive market segments with exceptional products. In the consumer space, we're building a global brand that applies to a wide range of product sizes and markets in the truck, SUV and crossover segments. In the commercial space, we're targeting with an initial -- we're launching with an initial focus on last-mile delivery through our partnership with Amazon, and we'll use this critical scale to support growth across the commercial space. We are in a unique position to establish significant last-mile market share through our Amazon partnership and have the opportunity to capitalize on software and services through fleet OS. We are vertically integrating core technologies to ensure our products continue to lead, enable us to move quickly to make enhancements and provide long-term structural cost advantages. The initial feedback from customers and third parties has been really rewarding to see, from customers excited about the most recent OTA, to MotorTrend selecting our R1T as their 2022 Truck of the Year. Our products continue to generate a lot of enthusiasm. All of this excitement continues to provide momentum to the brand. As of March 8, we had approximately 83,000 pre-orders, our pricing model, which encompasses the dual-motor drivetrain and standard pack has demonstrated continued strong demand, with pre-orders following the pricing update remaining at approximately the same rate as prior to the announcement. Demand remains extremely robust. With our 2022 priorities, we've been very focused on ensuring we have the right team working towards our mission. Next week, we'll be announcing our new COO that will be responsible for helping to scale our production and supply chain. We have also continued to hire great leadership across the business to keep up with our rapid scaling. Ultimately, the strength of our team is what determines our ability to execute our vision. Not surprisingly, our highest priority for the remainder of 2022 is ramping production of our normal Illinois manufacturing facility. As of March 8, we produced 1,410 vehicles this quarter and 2,425 vehicles since the start of production late last year. During the last two weeks, we have averaged a weekly production rate that is approximately two times the actual rate of the fourth quarter of 2021. With that, I'd like to talk a bit about the R1 production ramp. This ramp is progressing well across all areas of the R1 production line, and we're achieving demonstrated production rates that are in line with our expectations. And with all this progress, the biggest constraints we now face really lie with the supply chain. And it's really a small number of parts for which the supplier isn't ramping at the same rate as our production lines are ramping up. I want to talk just about one specific area. Previously, we talked about battery modules, and this was a constraint that we saw at various times through Q4. And as you may remember, we have two module lines, module line 1, module line 2. And module line 1 is now running at twice the speed at what we saw at the end of 2021. And module Line 2 is ramping up very quickly, and in line with our expectations. With line 1 and line 2 now ramping, battery modules are no longer a constraint to the plant. With that, I also want to talk about R1S. And R1S is being ramped very methodically. We learned a lot from what we've been through in the fourth quarter. And as we're methodically ramping this up, we're balancing component supply for the parts that are different on R1S relative to R1T, and we're also managing the fact that, that product is coming up behind the R1T in terms of its level of ramp maturity to make sure that we're optimizing for overall production output for the line. Now with that said, we should also talk about EDV. And the EDV ramp is quite a bit different than what we've been through in R1. It benefits from all the learnings you'd expect from the EDV line really being our second production line. Operationally, the line is ramping as intended without any major surprises or roadblocks. But as we've seen with R1, we are gated by a number of supplier ramp challenges. And given that the EDV production lines are capable of ramping faster than what we saw with R1, these supply constraints feel more pronounced than what we experienced in the initial weeks of ramping R1. With these supply constraints, the EDV is being built or being used to refine the digital integration of our software systems with Amazon to ensure alignment with the standard operating procedures for these vehicles. Feedback from Amazon and the drivers on the software is quickly being ingested, and we're using that to drive the OTAs on the platform. With all this we expect EDV production to ramp considerably during Q2. Now it's worth noting the challenges our suppliers are facing vary and include company-specific production issues, COVID-related delays, and semiconductor allocations. We're working closely with any of these constrained suppliers to identify component challenges early so that we can support the supplier ramp and develop alternative solutions if needed. While the 2022 production ramp is a core focus from an operational point of view, our future technology and product pipeline are also really exciting. As a preview of some of the major initiatives, we're developing a proprietary 800-volt architecture, which includes new in-house drive units that will further enhance performance and efficiency of our announced dual and quad motor configurations. This higher voltage architecture also includes onboard charger, DC/DC converter and DC to AC converter, where the power stages of the DC/AC and the AC/DC are bidirectional and share semiconductors, magnetics and the controller. We're also developing a heat pump-based thermal system, and along with that, a range of new battery packs, including what I talked about before, the LFP chemistry, an LFP chemistry being used within these packs. Now, beyond the in-vehicle power electronics, we also continue to develop our portfolio of charging and energy products to expand really beyond what we've already talked about and shown in our DC chargers to include a bidirectional home charger and home energy products. And the technology work isn't just focused on propulsion platforms or charging or power electronics. We're also developing an improved network architecture and the associated electronics topology to consolidate multiple compute platforms for reduced cost and complexity. We're developing our next generation of perception hardware along with that. And that perception, hardware is being used with a new higher compute platform for the autonomous system. We believe that all these investments and all this technology will really increase the desirability and of course, the capability of our vehicles, while also delivering improved unit economics on the vehicles. Next, let me pass the call on to Claire, who will provide an update on our financials and the business outlook.
Claire McDonough: Thanks, RJ. I want to echo RJ's feeling of encouragement with the progress we're making at the plant, the robust technology roadmap we have in place and the strong backlog of demand from consumers and Amazon. I'll start with a review of our fourth quarter 2021 results. After years of development and design, 2021 was an important year for Rivian as we launched three vehicles across two vehicle platforms and initiated our first customer delivery. During the fourth quarter, we produced 1,003 vehicles and delivered 909 vehicles, which generated $54 million of revenue. As we've discussed in the past, as we ramp our production, the volumes being produced on our manufacturing lines are a small fraction of our current 150,000 units of annual capacity. In the near term, we expect this dynamic of high fixed costs associated with operating and running our large-scale, highly vertically integrated plant, amortized over a small but growing number of vehicles produced across the R1 and RCV platform, will continue to have a negative drag on gross profit. In addition, we experienced higher costs due to inflation and supply chain challenges, which resulted in increased bill of materials and higher logistics costs associated with expediting shipping of certain parts. As a result, in the fourth quarter, we generated a negative gross profit of $383 million. Additionally, we recorded a lower of cost or net realizable value, LCNRV adjustments to write down the value of certain inventory to the amount we anticipate receiving upon vehicle sale after considering future costs necessary to ready the inventory for sale. This expense negatively impacted gross profit in the fourth quarter, and we expect it to also impact upcoming quarters in the near term. Turning to operating expenses. Research and development expense for the quarter was $726 million as compared to $255 million in the fourth quarter of 2020. The increased spend stem from our current and future vehicle programs as well as cross-platform technologies. As RJ mentioned, we have kicked off our in-house motor system Standard Range LFP battery pack, Rivian Cloud architecture and many other hardware and software technologies that will allow us to introduce more accessible price points, improve gross margins and enable us to expand our high-margin lifetime software and services revenue opportunity. Finally, we realized stock-based compensation expense of $277 million in the fourth quarter of 2021. As a reminder, our stock-based compensation vesting conditions were deemed probable at IPO, resulting in the recognition of our first stock-based compensation expense in Q4 2021. SG&A expense for the fourth quarter of 2021 was $682 million as compared to $98 million for the fourth quarter of 2020. As we scale our production, it's important we also scale our commercial operations, providing a seamless, comprehensive consumer solution is part of what customers expect when purchasing a Rivian vehicle. This requires investments in our digital experience, customer engagement and delivery teams, service operations and customer-facing facilities and events. In addition, we continue to focus on attracting new talent that will help us grow and reach our long-term objectives. We realized $277 million in stock-based compensation associated with SG&A. In Q4 2021, we also recorded other expense of $663 million. This primarily non-cash expense represents the accounting for the 8 million shares of Class A common stock and $20 million of cash that was donated to Forever by Rivian, Inc., in conjunction with our IPO. Our capital expenditures for the fourth quarter were $455 million, driven by our continued strategic investments in infrastructure. The capital expenditures were primarily due to expansion of our normal factory as well as investments in corporate facilities, service operations and experience bases. We have created a tremendous ecosystem, bringing together our in-house in-vehicle technology, the Rivian Cloud, and our product development and operations infrastructure that support our launch products and services and build the foundation for growth. We are at the tipping point of the EV transformation. We play in the fastest-growing and most profitable market segments, and we'll continue to scale our offerings with new price points, use cases and form factors. During the fourth quarter, we completed our initial public offering, which provided us capital to help execute our near-term road map. We ended the year with $18.4 billion of cash on hand, which includes restricted cash. As we look forward to 2022, I wanted to reiterate our excitement for the opportunities ahead and continued improvement in the areas of our business that we can control. Our primary focus will be to ramp our normal facility and the production of our R1 and RCV platform. While we work diligently to alleviate any supply chain challenges, we believe that through 2022, the supply chain will be the fundamental limiting factor to our total output for the year. We believe our normal facility, manufacturing equipment and processes have the ability to produce approximately 50,000 vehicles across our R1 and RCV platform in 2022, if we were not constrained by our supply chain. Our confidence comes from weeks of batch building that have proven our processes and equipment are ramping as we had expected and intended. Despite this, due to the supply chain constraints, which are currently visible to us, in 2022, we plan to produce 25,000 vehicles across our R1 and RCV platform. Our estimated adjusted EBITDA for 2022 is negative $4.75 billion, primarily due to continued forward investments. We will increase our research and development expense through investments in future vehicle platform, vertical integration of shared technologies as well as our in-vehicle and Rivian cloud technology road map. Our SG&A expense will increase primarily due to expected investments in our technology and commercial organization. As more of our vehicles hit the road, it's important we continue to invest in all aspects of our business that makes the digital-first ownership experience seamless and enjoyable. We plan to continue investing in our business throughout 2022, and therefore, expect an increase in capital expenditures as compared to 2021. Capital expenditures are expected to be $2.6 billion, driven by additional investment in our normal factory to expand the capacity of our R1 line to over 100,000 units annually. In addition, we expect to realize increased capital spend associated with the tooling for current vehicle platform, future vehicle manufacturing lines, battery technology and supply, our service network, digital offering and general technology. In closing, I wanted to reiterate our excitement for what we have ahead of us. Our long-term targets remain unchanged, with gross margin targets of 25%, EBITDA margin targets in the high-teens and free cash flow margin target of 10%. We expect the capital we are investing today will deliver powerful returns on investment. While the past year was filled with so many incredible milestones, we are truly just getting started. With that, let me turn the call back to RJ before opening up the line for Q&A.
RJ Scaringe: Thanks, Claire. We're no doubt experiencing one of the most challenging supply chain environment the automotive industry has ever seen. But as we look out 10 years from now, our products, our technology and our brand platform will help us capture substantial market share in the transportation space. I want to thank everybody for being with us today. And with that let me turn it over to the operator for questions.
Operator: Thank you. [Operator Instructions] First question is from Adam Jonas with Morgan Stanley. Your line is open
Adam Jonas: Hi. Thanks, everybody. So RJ and Claire, during -- in your S1 late last year, you had, at the time, 55,400 orders for the R1. And you stated that you expected to deliver those vehicles by late 2023. Can you confidently reiterate that you could deliver the 55,000th R1 by late 2023 today?
RJ Scaringe: Hi, Adam. Yes, we can confidently say we'd be able to deliver the 55,000th vehicle by the end of 2023. And as you heard from Claire and I, right now, the real constraint for our production is within the supply chain. And this has been a major focus for us. Every morning starts with thinking about which suppliers we need to go speak to and push harder on to make sure they're ramping as fast as the rest of our production line. But ultimately, our ability to ramp this year will continue to be gated by the supplier ramps. And as you know, it's not all the bill of materials. It's just a small fraction of the bill of materials where we're having some of these supplier constraints.
Adam Jonas: Okay. RJ, I'm interpreting that as that you confidently reiterate that given your visibility on the supply constraints, this is how I'm interpreting that, meaning including the supply constraints.
RJ Scaringe: Absolutely. Absolutely.
Adam Jonas: Thanks, RJ. Just as a follow-up, how many EDVs have you delivered to Amazon to date have actually been delivered and are in service?
RJ Scaringe: So as you heard, Adam, we're in the process on EDV of ramping the production. And the production ramp on that vehicle is actually going a lot smoother than what we've seen on R1. And it's really capturing a lot of the lessons learned and a lot of the sort of organizational capabilities that we've built on the ramp-up of R1. And so, as we think about EDV, it is outrunning the supply chain by a significant degree today. So the vehicles that we're producing, we're using really to refine, as you heard from us, some of the software and integration, the digital integration with an Amazon system. So, we really look at the second quarter to see significant ramp-up of the EDV.
Adam Jonas: Okay. RJ, thanks for that. So, I'm interpreting that as there really aren't any significant numbers in the fleet right now. They're being built and up-fitted and improved and optimized in the factory, and we won't expect any -- I won't expect any material amount of EDV deliveries. I won't see them in neighborhoods delivering packages, for example, until sometime in the second quarter. Is that incorrect? Is that correct?
RJ Scaringe: Well, I guess it depends on which neighborhoods you're in. But right now, we have a number of vehicles that are deployed as part of this testing pilot fleet. But in terms of significant scale, that's right, we wouldn't see significant scale until second quarter of this year.
Adam Jonas: Thanks, RJ.
Operator: Thank you. Our next question comes from John Murphy with Bank of America. Your line is open.
John Murphy: Good afternoon, guys. Maybe just to push a little bit harder on this volume number. I mean RJ, as you look at the supply disruption right now, I wonder if you could give us maybe a little bit more color about specific parts, is it semis, or we've heard just general malaise and snarl in supply chains. And then two, why you think this means ultimately for line expectations as we get beyond 2022 into 2023. Because I think generally, there's an expectation to do 100,000 units-plus in 2023. So I mean, I think you're talking about capacity to do 50,000 units right now on a tooled basis. I mean, do you think on a tooled basis, the supply chain gets -- issues get worked out that you could do something like 100,000 units in 2023?
RJ Scaringe: Yes. Thanks, John. We're working as hard as we can to get the suppliers ramped. And as you said, certainly, the vast majority of our suppliers have been keeping up with the production ramp in the plant. And as the production rates continue to increase within our facility, the constraints within the supply base become even more apparent. And we have resources focused on any of those constraints to make sure we do everything we possibly can to expand our component supply because, ultimately, our goal is to deliver as many vehicles as we possibly can this year. And as you heard from Claire, we’re not for supplier constraints, we're confident we could achieve in excess of 50,000 vehicles this year. So what we've done is on these few areas where we do have constraints, we're working very closely, meaning we have our teams on site with those suppliers, in some cases, helping to operate certain shifts. In other cases where we've had third parties that are coming in to help improve the efficiency and the efficacy of those operations. But the areas that I just point that we're seeing more challenging as we ramp really are within the semiconductor space, the wire harness space and within the electronic space at some of the CMs, the contract manufacturers that are building the printed circuit boards for us. And so in each of those, there's different constraints. As you can imagine, in the semiconductor space, a lot of that is dealing with allocation. In the harness space, for our case, these harnesses are coming out of Mexico. There's a number of labor challenges there, many of which have been exacerbated by COVID. And that's very similar to some of the compute platforms as we start to get to much higher volumes. So there's a bit of a ripple effect of some of the component shortages that then feed into the assembly of those components into printed circuit boards.
John Murphy: Okay. That's very helpful. And then just a second question on the pricing peripheral. I mean, I think you guys have -- from my personal view, underpriced your products even before supply chain issues and inflation and everything because you have a very, very good product. So I think you kind of underestimated your own success here. Have you read anything into the folks that you haven't heard complain about the price increases and the people that have still ordered after the price increases? And do you think -- forget about the input cost inflation, that there might be even more opportunity on pricing on your vehicle. Because I mean, from my vantage point, you're a high-end Jeep Wrangler to somewhere or a high-end Range Rover. And I think you really have kind of maybe undershot structurally what you could do on pricing, forget about market dynamics at the moment, just based on the product itself. So I mean, one, what have you read, which we haven't heard? Two, people you -- have ordered post pricing increases? And three, do you think there might be even more room on pricing just because of the product itself?
RJ Scaringe: Yes, John, we spent a lot of time looking at our pricing model. And as you heard from me, a big part of the new pricing model was to make sure we could really ingest our dual-motor and our standard battery pack within our price range, as you heard, from $67,500 up through $90,000-plus. And so with that now portfolio of three different drive -- or three different battery packs and two different drive configurations, we have a really nice mix of options for our customers and mix of configurations for our customers. And when you take a step back and look at the product at the new pricing levels, it is very competitively priced. If you look at our SUV, this is a three-row SUV with the large pack and the dual-motor, it's 0 to 60 in under four seconds. Over 320 miles in range. A true proper three-row vehicle with a lot of space for storage. I've been driving one now for over three months, incredibly fun. My wife and I love it. So I mean the products themselves, as you said, are exceptional, and we are seeing tremendous demand. Now since announcing the new pricing, we've also seen really no change in the rate at which pre-orders are coming in. And so customers also really see the value proposition, and it's really been validated and confirmed over the last week by seeing the continued influx of demand and, as we like to think about it, the continued growing backlog of demand.
John Murphy: Okay. That's great. Yes. No, I just think there was -- I think you may even have more room than you think, but that's a high-class problem to have. Thanks so much for the time.
RJ Scaringe: Thanks, John.
Operator: Thank you. Your next question comes from Rod Lache with Wolfe Research. Your line is open.
Rod Lache: Hi everybody. Just on the supplier issues, I understand the types of things that you're doing to help suppliers, but can you give us a sense of the visibility into bringing those constrained suppliers into where they need to be. So the suppliers of semis and wire harnesses and electronics that they are an issue, are they are they giving you a kind of a high confidence schedule at this point? And just give us a sense of the -- what that looks like?
RJ Scaringe: Yes. Thanks, Rod. It really depends on the commodity area and on the supplier. And something like a wire harness or an ECU that's being built at a CM, at a contract manufacturer, in those situations, we have teams that are on site. We have very incredibly high -- an incredible high level of visibility into their operations, into the way in which they're running their business. And we have very close and transparent relationships with them. And on those, we're able to essentially build crisp line of sight, over the next several quarters of production. Now with that said, the challenge within the semiconductor space is there's a lot more unknowns there. And it's very different than, let's say, a wire harness production facility where we can put key members on the ground at the wire harness facility where we can actually help, we can actually assess. We're not able to send folks into foundries or send folks into semiconductor manufacturing sites to do the same type of hands-on support and/or auditing. So in that regard, I'm spending a lot of time and the rest of our senior leadership team is spending a lot of time with our semiconductor suppliers, and making sure we're securing the right allocation. And that allocation, as we start to get into higher production rates, especially in the back half of this year, is where we see risk. And it's what's caused us to make the adjustments to what we're guiding to in terms of production for this year. But I want to be very, very clear. We are pushing very hard on those suppliers. And if any of those suppliers are listening in here, you're going to continue to -- those suppliers will continue to hear from us. And we're going to be continuing to push very hard to get those numbers as high as possible, because they are constraining us. And it's quite painful when we see our production plants, really ramping and the lines running as we intend to have to throttle production because of those shortages of those parts. So this is something we're laser-focused on. A morning doesn't go by, where it's not a topic of conversation for us as a management team.
Rod Lache: Okay. And you said that you're now at 2x the 2021 exit rate of production. Can you just tell us specifically what that means? What is the production per day? And what kind of cadence are you expecting over the course of this year? So if I look at 50,000 units a year, it looks like it would correspond eventually to something like 170 per week, on a -- or 770 a day on a six-day week and 50 weeks a year. Do you think you would get there towards the end of this year?
RJ Scaringe: Again, ultimately, the rate at which we can produce is going to be gated by the number of components that we have. One of the things that's given us the confidence around the production ramp is the way we've been validating our production equipment, production lines and also making sure we're training our teams whilst accumulating enough parts to run the lines at their intended rate. So we may have not run one day during the week or we may finish a shift early because we're operating the lines at a much higher rate. So because of that, our lines are sitting still far more often than we'd like because we're waiting on components. So that gives us the confidence to state here that we see the ramp continuing to improve, but it is going -- or continuing to climb, but it's going to be limited, as I said, by unlocking some of these key components.
Rod Lache: Okay. But there surely is some schedule that you have in your own mind and embedded in that 25,000 unit forecast. Can you just give us a sense of what that cadence looks like just so that we can get a sense of what your expectations are for the ramp of your suppliers?
RJ Scaringe: So as you said, we're running at twice the rate of what our exit velocity was, our exit rate was for 2021. We will continue to climb. But ultimately, that 25,000 implies that we're up against a ceiling of supply, if you will. But that ceiling is something we're working very hard to remove so that we can continue ramping and continue getting more vehicles to customers.
Rod Lache: Okay.
Claire McDonough: Just chiming in and provide a little bit more color on that point as well. As we think through the volumes for the year, we'd expect that those volumes would be more back half-weighted as we think about where we are in the S curve today and the trajectory of the manufacturing plant and making sure that our supply chain partners are also ramping their weekly output in lockstep with Rivian's, so that we can hold the rate that the production facility can deliver across the board. And so as we think about the cadence of the quarters for the year, I would think about us in this next quarter closing out Q1 and moving into Q2, starting to prioritize more of this and has been build into -- so that's sort of also part and parcel of slope of the curve that you could expect as you see us accelerating into the back half of the year. And the other important dimension here as well is really the cadence of the RCV platform as well, given some of the seasonality of Amazon, there's a heavy push for us to really ramp production throughout the course of Q2 and Q3, and then taper as they think about sort of their high season, which is sort of heading into that holiday period. So very much kind of a big push as we think about building up production into Q3 to deliver on that 25,000-plus unit.
Rod Lache: Okay. Just to clarify, two times your production rate from the exit rate, are you talking something like 50 or 60 a day? Just to put some kind of a metric on where you're running right now. Can you share that?
Claire McDonough: I would just say we're not going to get into the habit of providing daily production rates. And I think as you rightfully have seen on our last earnings call, we gave you numbers and you could sort of benchmark until the overall daily production in those last handful of weeks of last quarter. But I just wanted to make sure we were providing sort of that overall visibility into the progress we're making.
Rod Lache: Okay. Got you. Thank you.
Operator: And next question comes from Ryan Brinkman with JPMorgan. Your line is open.
Ryan Brinkman: Hi, thanks for taking my question. Relative to the earlier planned 17% to 20% price increase for current reservation holders, is this price increase needed to offset inflationary pressure, since the time of the IPO in order to meet the financial expectations you may have had at that time? And does that imply then that margin might now be lower than previously contemplated, at least until such time as you begin selling the new orders that you take at the higher price? And does this mean that prices, yes, in the out years will now be higher than previously contemplated, which could imply that volumes might be lower than previously contemplated? Or maybe because there's a general inflationary environment, including for battery metals and competitor vehicles, too, that kind of offset the impact of volume? How are you thinking about these different factors?
Claire McDonough: Sure. As your question indicates, there are many different factors that are driving what we both experienced over the last handful of months, in regards to the inflationary pressures in the market. But I think, as you heard in John's question as well, right, there's still a phenomenal value proposition for the vehicles, even at the revised pricing levels that we put out to the market, which, again, as RJ mentioned and touched upon, is really reinforced by the overall demand that we've seen post-pricing increase for those vehicles across the board. And as we think about, what's changed since that time of IPO right, we have both the largest factor here in these early stages of production is actually volume and rate. And so as you think about the fact that we have 150,000 units of annualized capacity at our plant in Normal, Illinois, and instead of higher volumes, as we had indicated, right, we have the ability to produce 50,000 units this year, the fact that we're supply constrained to 25,000 units this year is actually the most highly sensitive variable as you think about the impact on our gross margin. And so the supply chain environment is a key factor in regards to the margin rate that we expect to have. Inflation also has clearly been a factor here as well. Rivian is not alone in regards to the overall raw material input prices that are obviously impacting EVs across the board. And will continue to impact this base overall. I think that the important takeaway here is, right, our long-term targets are unchanged. We still have tremendous conviction around our ability to deliver against our 25% long-term gross profit margin, and we'll continue to see that opportunity. And importantly, as we think about the components of that margin, as we've talked about in the past, it's not just the vehicles we're providing, but importantly, it's the software and services and recurring revenue streams that we can earn, our post-initial purchase that helps us deliver that 25% margin and the opportunity to move overtime even beyond those levels. So in closing, I would just say that, right, we feel as though our vehicles are competitively priced today. We see tremendous demand in that backdrop. And as we look at the long-term, we see really no change to the overall margin trajectory and opportunity we have.
Ryan Brinkman: Great to hear. Thanks so much. And then just lastly, what are your thoughts on that battery and metals cost inflation? How do you think the increase in the price of nickel, which seems like it could be, hopefully in large part, temporary, but some of the other metals, too? How do you think that impacts the competitiveness of EVs versus ICE vehicles, understanding, too, that ICE vehicles have their own palladium and platinum and catalytic converter inflation problem to worry about as well. Do you have a sense for how these like competing inflationary cost pressures might net out and what the resulting impact could be on EV sales or EV penetration of total industry sales?
RJ Scaringe: Ryan, as you said, we hope the inflation that nickel pricing very recently is short-lived. But the reality is there's going to continue to be movements around commodity pricing and it's going to be across a variety of commodities, whether you're looking at some of the commodities that go into catalysts, as you said, in an ICE vehicle versus, let's say, nickel and a battery cell. But I'd also point out, and I talked about this earlier, that we're developing a portfolio of battery solutions, inclusive of lithium ion phosphate and LFP pack. And one of the nice things about having multiple different chemistries across our portfolio is it essentially provides a bit of a hedge around some of the different materials that go into different battery chemistries, in this case, of course, referring to nickel. But these are -- this is something we're paying very close attention to. We fully recognize and fully analyze the implications of some of these different materials and the pricing of those materials, how that will be translated into our margin structure.
Ryan Brinkman: Very helpful. Thank you.
Operator: And your next question comes from Joseph Spak with RBC Capital Markets. Your line is open.
Joseph Spak: Thanks everyone. I guess to start, maybe -- can you just give us some color on what you actually saw in terms of cancellations and recouping of those orders from the pricing decision. I mean, I know reading message boards can lead you to a dark place, but you probably have better information than the rest of us. And then it's good to hear about the good rate on preorders since the pricing change. But can you give us some context? Is that in more for the new dual motor standard pack? Or are customers still also opting for the original cloud motor?
Jiten Behl: Yes, absolutely. So on 31, when we announced the new prices, we did see increased rate of cancellations in that 24-hour period between the price announcement and when we roll those prices back. But right after the reversals, we got massive reinstatement requests, and more than half of our customers requested to reinstate. So what we basically saw was the demand continues to be very robust and -- both from a reinstatement point of view as well as from the new orders point of view, as RJ mentioned. The rate at which the new orders are coming in is very comparable and similar to the rate at which the orders were coming in before our pricing announcement. So we -- it sort of validates the pricing model that we had shared with the world. And I think we continue to be very confident at the competitiveness of our product and how it's going to result in the growth of our backlog and demand going forward.
RJ Scaringe: Joe, just to add a bit to that. I want to be clear that certainly, as you said, if you look at some of the online surveys, you come out with a very different perspective on what the canceling rate was. The decision we took was to ultimately honor the original configuration pricing, wasn't due to any cancellations, but rather was really because we have such a focus on our brand and the relationship we have with customers. They're -- this wasn't driven by some mass cancellation, but rather the recognition that the brand we're building is the foundation, is the platform upon, which ultimately we're going to be selling millions of different vehicles per year across different vehicle types and of course, across different markets. And these early customers are such a critical part of what we're building as an organization.
Joseph Spak: Yes, I would agree with that sentiment. As a second question, with the standard LFP packs that you mentioned in the opening remarks, will those be the Rivian-produced packs? Or are those still going to be sourced?
RJ Scaringe: So great question, Joe. And we've talked about this a bit in the past. The way we've approached our battery cells and I'd say broadly, our approach to battery packs is you could really look at it across two arms. On one side, we're developing relationships with cell suppliers where we co-invest in capacity. And that may be high nickel cells like what we've launched with in the vehicles thus far. But it also includes LFP cells, which is actually what we're going to be launching later this year. But in parallel to that, and as your question implied, we're also developing in-house battery chemistries and in-house production capability. When I say in-house, that's entirely in-house, not through a joint venture or through a partnership structure. But the LFP that's first launching later this year, that's a cell that we've sourced through a partner and a cell that we're going to be building in that close partnership.
Joseph Spak: Okay. Thank you.
Operator: Thank you. And your next question comes from Alex Potter with Piper Sandler. Your line is open.
Alex Potter: Okay, great. Thanks guys. So maybe first question, a quick one. Any chance you'd be willing to give a general idea of the mix breakdown, R1 versus the Amazon van in that 25,000 units?
Claire McDonough: What I would say is that the overall mix relatively hasn't changed from our original thoughts or forecasts overall.
Alex Potter: Okay. Fair enough. So I hate to harp on this, I mean you're probably sick of talking about it and thinking about it. But obviously, supply chain, this is pain, it's coming through very clearly. I'm just wondering, if you take a step back and think about this strategically, philosophically, if you would have known everything that you know today, if you would have known this two years, three years ago and you were initially formulating your supply chain strategy, what would you have done differently? And looking forward to the plant that you have coming up in Georgia, how will you apply those learnings to that future product rollout? Or maybe you won't. Maybe you don't have any regrets about the way you've approached things. And I'd just be interested in hearing how you address that question? Thanks.
RJ Scaringe: Yes. It's a great question, Alex. And we certainly have spent time saying how do we avoid some of these supplier constraints going forward. There's a couple of things I'd note here. And in the context of semiconductors, one of the challenges is we have a supply-demand imbalance as an industry. And as a result of that, suppliers are providing platforms or components on an allocation basis, and those allocations are largely being set at some multiple of last year's demand. And, of course, what we've seen is all the sources of demand, all the OEMs, in this case, are asking largely for more than the need. And so the semiconductor suppliers are then developing their own allocation models that essentially reference what they believe the real true demand is. So the challenge we have in this regard is we have to -- we don't have something to look back to, to say what was Q1 of 2021, like in terms of our demand profile. And with each of these semiconductor providers, we need to give them the confidence that we're capable of ramping. And of course, each semiconductor supplier asks, well, how -- if I'm semiconductor supplier X, how is semiconductor supplier Y doing, and wanting to sort of make sure that, their rate of supply and the allocation that they're providing to us is roughly equal to the rate of allocation that's coming from other semiconductor suppliers. So, it's a bit of almost like a game of scheduled chicken, if you will, between these different suppliers. And so, we've taken the approach of being very transparent and I guess, to be explicit, to being very aggressive with these suppliers to make sure we're driving them. And it's why I said earlier, for any of those suppliers that happen to be on this call, we're going to continue to push very hard. And that's critical for us as we go into next year. And as we think about future launches, we'll have the benefit of having proven demand and proven output. Now with all that said, our next-generation network architecture that I referred to before, actually helps simplify this problem where we are consolidating a number of our RCVs and we're doing that in close partnership with the semiconductor suppliers where as we source these, we're basically making sure that this doesn't happen again. So there's -- the way we're setting up the contracts, the way we're negotiating pricing, the way we're negotiating the purchase process, we're ensuring that the things that we previously treated as more of a commodity, we now treat as a strategic sourcing agreement and an agreement in which we won't have these kinds of surprises that we've just gone through. Now with that said, around semiconductors, I'd say the other area that we've -- as we go forward, that I think we've learned from here is sometimes these macroeconomic environments are just hard to plan for. And the need to take an approach of being very hands on. And if previously, you would look at the supply base and say, it's a trust but verify, and maybe there was 80% trust, 20% verify. I think for the industry at large, certainly for ourselves, we're taking a much more heavy-handed approach to the supplier ramp-up process where we'll have folks on site much earlier in the process, making sure the suppliers are hiring the teams they need to hire, setting up their supply chain, so that's their Tier 2s and associated Tier 3s, appropriately and being very much more heavy handed in that audit and ramp-up process. And so, we certainly are doing that now. And I referred to it before, but we have a team of people dedicated to being on site and to working very closely with these suppliers. We're going to be increasingly aggressive on that as we go forward because we do view this as a critical core competency to make sure future ramps are as -- occur as fast as possible.
Alex Potter: Thanks RJ, and that’s super helpful. I’ll now pass on.
Operator: Thank you. The next question comes from Mark Delaney with Goldman Sachs. Your line is open.
Mark Delaney: Yes. Good afternoon and thank you very much for taking the question. I was first hoping to better understand the production outlook of 25,000. One of the things we've seen for the industry broadly is a lot of unexpected issues have come off, suppliers can't meet the forecast that they provided. So, I'm hoping to better understand to what extent you're incorporating additional unexpected disruptions that may occur this year within that 25,000 production target? And I guess, if everybody delivered to plan, would the number actually end up being more than 25,000?
RJ Scaringe: Yes. Thanks, Mark. We're certainly working as hard as we can to exceed that 25,000. And when we put that guidance together, we did it fully contemplating all the constraints that we see today as well as the -- where we see potential issues over the course of the next year. Of course, saying that and given the large number of unknowns and uncertainty in the system, it's impossible to predict everything, especially in this environment. But again, we're very focused on achieving as much as we can and fully utilizing the plant capacity that we have installed and the plant capacity that we've demonstrated thus far.
Mark Delaney: Understood. My second question was on the materials inflationary environment. I'm hoping to better understand that as well. Can you talk about to what extent you've been able to lock in any of the pricing, either in terms of financial hedges or fixed-price contracts? I think typically, in the industry, there's a lot of commodities pass through. And so it sounds like Rivian would be exposed to the higher materials cost if they do, in fact, stay at current levels. But hoping to better understand if you've been able to offset any of that? Thank you.
RJ Scaringe: It's a good question, Mark. I think as we think about structuring and as we -- I should say, as we structured our supplier contracts leading into our launches across all three products, the R1T, the R1S and EDV, a lot of those contracts are tied to a component or a part or a system at a fixed price. So there's not a raw material pass-through. Of course, there are some contracts that have raw material pass-throughs, and it's really dependent on the type of contract and the type of component or system. The component of our systems, where a vast majority of the price of that item is carried by the commodity price, there may be those pass-throughs. But a lot of systems, most of the price is actually carried in the value-add on top of the raw material. So take, for example, a headlight as an example. Much of the headlight cost is actually the processing of the materials as opposed to the raw materials themselves. Now exceptions to that and examples where that's a bit different, of course, and we've talked about this already, really around the battery cell and so we see this with nickel. It's one of the reasons we're so focused on nickel. And I think I'm sure all of our colleagues across the industry are also very focused on this, because those types of contracts typically do have some level of some level of commodity pricing baked in.
Mark Delaney: Thank you.
Operator: Thank you. And ladies and gentlemen, this concludes our Q&A session. I will pass the call back to RJ Scaringe for his final remarks.
RJ Scaringe: Thank you. Well, I appreciate everybody joining us for this call, and we enjoyed the questions and the discussion. We look forward to future discussions. Thanks so much.
Operator: And with that, we conclude our program. Thank you for your participation. And you may now disconnect.